Operator: Good day and thank you for standing by. Welcome to the Synaptics, Inc. Third Quarter Fiscal Year 2022 Financial Results. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I will now hand the conference over to your first speaker today, Munjal Shah. Sir, you may begin.
Munjal Shah: Thank you, Peter. Good afternoon and thank you for joining us today on Synaptics third quarter fiscal 2022 conference call. My name is Munjal Shah, and I am the Head of Investor Relations. With me on today's call are Michael Hurlston, our President and CEO; and Dean Butler, our CFO. This call is being broadcast live over the web and can be accessed from the Investor Relations section of the company's website at synaptics.com. In addition to a supplemental slide presentation, we have also posted a copy of these prepared remarks on our Investor Relations website. The supplementary slides have also been furnished as an exhibit to our current report on Form 8-K filed with the SEC earlier today and add additional color on our financial results. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other non-cash or recurring or non-recurring items. Please refer to the press release issued after the market close today for a detailed reconciliation of GAAP and non-GAAP results, which can be accessed from the Investor Relations section of the company's website at synaptics.com. Additionally, we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections related to our financial condition, results of operations, plans, objectives, future performance and business, including our expectations regarding the potential impacts on our business of the COVID-19 pandemic and the supply chain disruption and component shortages currently affecting the global semiconductor industry. Although Synaptics believes our estimate and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including our most recent annual report on Form 10-K for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. Synaptics expressly disclaims any obligation to update this forward-looking information. I will now turn the call over to Michael.
Michael Hurlston: Thanks, Munjal, and I'd like to welcome everyone to today's call. We reported another excellent quarter with revenue above the midpoint of our guidance range due largely to strength in our IoT products. Our results showcase that our diverse portfolio constructed over the last few years can weather challenges in one or more product groups. Higher revenue and a record IoT mix led to record profitability in the quarter with non-GAAP gross margin above 60% for the first time in the company's history. We delivered record non-GAAP operating margin, and our non-GAAP EPS was above the high end of our guidance range. I am particularly proud of our IoT product group, which accounted for 64% of our total revenue and grew 99% year-over-year. This quarter, we overcame some well-documented headwinds. First, as many have reported, Chinese handset sell-through was weaker than expected. Although we haven't seen any erosion in our share position, we experienced weaker than expected revenue across our Chinese customer base. In addition, our narrow exposure to a North American handset maker caused underperformance against our initial expectations, which will also continue into ensuing quarters. That customer, once a significant portion of our total revenue, now represents only a mid-single-digit percentage. Outside the mobile handset area, we are seeing some softness in PC sales. We believe our business has sustainability due to our overweighted exposure to commercial SKUs, but we are forecasting a modestly down year for overall PC units. In spite of all these challenges, we continue to report strong revenue growth and record gross margins and earnings. Why? Our strategy to diversify our portfolio has paid off in spades. We are a stronger company with a more diversified portfolio and customer base. We have a series of growth drivers in our IoT product offerings that continue to do well, more than offsetting choppiness in mobile or PC. These growth drivers are: Wi-Fi and Bluetooth combo chips, Display Drivers in Virtual Reality headsets, TDDI circuits in automotive, and our family of video interface products. All four of these areas of our portfolio are growing faster than the company overall, and we view each as a sustainable franchise. The first of our growth drivers is wireless connectivity which continues to have the best overall trajectory as we continue to win new designs and ramp at new customers. We have shown particular strength in Wi-Fi 6E combo chips in video applications, primarily in over-the-top and traditional operator set-top boxes. In these applications, customers value our differentiated ability to sustain high bandwidth in challenging multipath environments. In addition, we have been able to cross-sell our combos into both traditional Synaptics platforms as well as new DSP Group sockets, such as video conferencing systems. Our GPS solutions are performing well, particularly in wearables. Our Triple-Combo wireless device is being sampled and we are engaged with early customers that want to take advantage of a single chip that features Wi-Fi 6E, Bluetooth and Thread/Zigbee protocols. To support the momentum in this business, we are accelerating our own engineering capability. While we have already taped out two organic devices, we are adding more engineering talent to deliver the product roadmap we have in place. As such, we announced the opening of our Wireless research and development center in France, expanding our presence in Europe and leveraging a strong base of local analog and RF expertise. Combined with the talent from our DSP Group acquisition and some additional hiring, we feel we are in position to develop leading edge wireless products purpose-built for the IoT market. The second of our growth drivers is display drivers that are specifically designed for Virtual Reality headsets. As this market grows, Synaptics will benefit given our incredibly high market share. Our traction is across geographies as we have market leadership with designs shipping in almost all major platforms. In particular, we are doing well with OEMs in China that have gaming and entertainment content suited for these headsets and whose early sales results have been impressive. We are the clear technology leader for virtual reality displays and offer solutions that enhance the user experience by increasing pixel density at the focal point of the eye. Our market leading roadmap supports higher precision displays, and we expect that we will continue to win as the technology evolves. We are seeing strong design-win activity giving us confidence for the back half of the calendar year and beyond. TDDI circuits for automotive displays is another growth driver for Synaptics. As we have reported before, automotive panels are in the early innings of migrating from discrete touch and display ICs to an integrated TDDI. Our share of TDDI continues to be high and as the market continues to move rapidly in this direction, we see significant top line benefit. This quarter, we had multiple designs ramping across all the geographies which will become more evident in the second half as new cars are launched. As with our other growth drivers, we have a leading roadmap of TDDI solutions that we expect will enable us to maintain our leadership as automotive display sizes increase.  Our fourth significant driver of both top and bottom-line growth is our family of video interface products which have traditionally been applied to docking stations. The docking station market continues to do incredibly well beyond the initial remote work demand, driven by an entire workplace and technology refresh cycle. In fact, Dell, who has a significant market share lead, just announced three new docking stations featuring four of our devices. While docking has been our historical area of strength, our video interface products are finding their way into a whole host of new devices. First, we are continuing to see traction for wireless docking bringing with it expanded Synaptics content. Second, we are applying our products to smart monitors. Finally, customers are using our technology in a host of video conferencing designs. All of this is fueling growth in the core of our video interface products. However, beyond that core, we have opened a new frontier with a set of products for protocol adapters and converters which is a completely new opportunity for us. Several ODMs have introduced products using our technology and we have design-wins at multiple OEM customers that could launch in the second half of calendar year. All told, driven by the incredible diversity of offerings, our video interface product group is one that we expect to grow significantly into the foreseeable future. While these four areas drive a significant portion of our IoT growth, we are doing well across the portfolio. A couple other areas to touch on include our low power processor technology with AI and machine learning capability. Last month, at the tinyML Summit, we demonstrated how our ultra-low-power Katana and DBM10L SoCs with neural network engines can be used in both machine vision and natural speech processing. We have applied the device to occupancy counting, soundevent detection, keyword spotting, and meter reading. We are working with and have design-wins with leading OEMs for low power edge AI applications and see a significant long-term TAM potential in this new market. We are moving our video processors outside the core operator set top box market and into new areas where we have additional content to sell such as video conferencing systems, security platforms, and smart monitors. Finally, we just announced our entry into a totally new market, introducing a single chip that combines inductive, capacitive, ambient and Hall Effect sensors in a single device. This opens a large TAM as it can be applied to TWS headsets, gaming controllers, VR headsets, automotive and fitness products. After our first full quarter with DSP Group, we have been pleasantly surprised by the business. The ULE products have been robust and have presented a multitude of cross-selling opportunities including some video processors that can drive security panels. The UCC products are also performing better than expected and we have been able to cross sell wireless and video interface products into enterprise voice over IP customers. Finally, demand for cordless products remains surprisingly strong and we have been able to engage a set of totally new customers with our entire product portfolio. Let me move on to our PC product group. Our latest touch pad solution is seeing good traction with top OEMs designing it into notebooks that will be introduced in the second half of calendar 2022. We win because OEMs like our best-in-class performance that features the highest level of NIST security. Additionally, we are engaged with OEMs as they transition to larger Haptic Forcepads and expect to a resultant ASP lift. Our biometric fingerprint solutions are seeing increased attach rates due to the need for simple, one-touch authentication. As stated earlier, we expect the PC TAM to be flat to down in the next year, but we will continue to do well due to a focus on performance which is of particular importance to commercial SKUs, increased content per box, and a gradual mix to higher ASPs. Finally, Mobile, is now only about 17% of company revenue. Our new high-end flexible OLED display driver is starting to gain traction and we expect a more material ramp in the second half of calendar 2022. This is a new opportunity for us where we have limited share today. We continue to do well with our touch technology in China. As new handset models go to production featuring high-end flexible OLED displays, we would expect to do well, particularly as we continue to introduce solutions with better performance and more advanced features. And lastly, on supply chain. Our results and guidance take into account the recent lockdowns in China. While the aforementioned areas of softness have created limited supply headroom in some areas of our business, in the fast-growing areas of our portfolio, we are still seeing supply chain challenges. Generally, we expect to see gaps in demand throughout the calendar year and beyond. To conclude, Q3 was yet another record financial quarter for the company as a result of the continuing shift to IoT, we are seeing improving gross margins and earnings. We have four differentiated growth drivers that we believe will continue to deliver higher-than-average top line growth. While we’re very happy with the portfolio as it stands today, we will continue to look to add pieces that we feel improve our go-forward prospects. Now, let me turn the call over to Dean to review our third quarter financial results and provide our outlook.
Dean Butler: Thanks, Michael, and good afternoon to everyone. I’ll start with a review of our financial results for the recently completed quarter and then provide our current outlook. Revenue for the March quarter was $470 million, above the midpoint of our guidance. Revenue was up 12% sequentially, with continued strong demand for the company’s IoT products. Revenue from IoT, PC and Mobile were 64%, 19% and 17%, respectively. Year-over-year, March quarter revenue was up 44%, driven by significant growth in IoT, where we continue to see strong customer demand and the inclusion of our first full quarter results related to the acquisition of DSP Group. Our IoT product revenue grew 99% year-over-year and was up 15% sequentially. With these results, IoT is now nearly twice the size of our PC and Mobile product lines combined. IoT has grown at high double-digit rates for seven straight quarters, outpacing almost all peers, making Synaptics one of the largest IoT-focused semiconductor players with approximately $1.2 billion in run rate sales. Our PC product revenue grew 9% sequentially, but was down 8% year-over-year. Overall, PC demand has been reasonably stable for the past several quarters as our focus continues to be on commercial notebooks. But as Michael mentioned, we’re experiencing some softness as a result of lockdowns in China affecting our customers’ supply chain in this region. Our Mobile product revenue grew 3% sequentially and increased 3% year-over-year, coming in lower than our prior expectations. We continue to experience a weaker demand environment for our products across both China and U.S.-based customers. We believe that China, OEM and product sales have been hampered by recent local COVID lockdown protocols and by the political unrest in Europe, leading to above-average inventory at these customers. During the quarter, we had two customers greater than 10% of revenue, each at approximately 14%, both of these being distributors servicing multiple OEMs. A wide variety of our products shipped through these distributors and as such, don’t represent any specific one OEM or end market. For the March quarter, our GAAP gross margin was a new company record at 54%, which includes $25.2 million of intangible asset amortization, $7.2 million of inventory fair value adjustment and $900,000 of share-based compensation costs. GAAP operating expenses in the March quarter were $165.7 million, which includes share-based compensation of $33.2 million, acquisition-related costs of $13.1 million, consisting of intangibles amortization and transaction costs, amortization of prepaid development costs of $2.5 million and restructuring-related costs of $11.3 million. Our GAAP tax expense was $24.4 million for the quarter. In the March quarter, we had GAAP net income of $64.9 million or GAAP net income of $1.59 per share. Now, turning to our non-GAAP results. March quarter non-GAAP gross margin of 61.1% was a new company record and above the high-end of our guidance range, reflecting a strong mix as we continue prioritizing our highest value products, while passing through changing input prices. March quarter non-GAAP operating expenses were at the mid-point of our guidance at $105.6 million, and up $11.4 million from the preceding quarter due to the inclusion of the first full quarter of DSP Group. Non-GAAP tax expense was $20.9 million for the quarter. Our record non-GAAP net income in the March quarter of $152.7 million was an increase of 15% from the prior quarter and an incredible 93% increase from the same quarter a year ago. This significant increase in profit has rewarded our shareholders with non-GAAP EPS per diluted share of $3.75 which was above the high-end of our guidance range. Now turning to the balance sheet. We ended the quarter with $755 million of cash, cash equivalents and short-term investments on hand; an increase of $181 million from the preceding quarter driven by strong cash flow from operations of $128 million and net proceeds of $56 million from the closing of the sale and leaseback transaction of our San Jose office. Receivables at the end of March were $298 million and days of sales outstanding were 57 days, down from 67 last quarter reflecting a more positive accounts receivable linearity during the quarter. Our days of inventory were 71, which was in line with 70 days last quarter and ending inventory balance was $146 million as we pipeline material expected to ship during our fourth quarter. Capital expenditures for the quarter was $13.1 million, and depreciation was $6.3 million. We anticipate revenue for the June quarter to be in the range of $460 million to $490 million. We expect continued strength in our IoT products to more than offset softness in PC and Mobile. Our backlog position continues to be robust with many orders representing coverage for the remainder of the calendar year, especially for our IoT products. Backlog at the start of the quarter was above the high end of our guidance range as we are still significantly supply constrained limiting our ability to service our customers' full demand. We have also factored in any known supply-chain or demand impacts resulting from the China COVID lockdown or political unrest in Europe. We expect our revenue mix from IoT, PC and Mobile products in the June quarter to be approximately 69%, 17% and 14%, respectively. We anticipate our IoT products growing more than 80% on a year-over-year basis, resulting in a three year trailing growth rate of more than 50% compounded, which we believe has been significantly faster than the broader semiconductor market and faster than our IoT-focused peers, reflecting a sustained growth trajectory, which we've previously highlighted. We expect our GAAP gross margin for the June quarter to be in the range of 55% to 56%. We expect our GAAP operating expenses in the June quarter to be in the range of $158 million to $165 million, which includes intangibles amortization, prepaid development cost amortization, share-based compensation and restructuring costs. Finally, our GAAP net income per share for the June quarter is expected to be in the range of $1.55 to $1.85. Now for our non-GAAP outlook for the June quarter, we expect non-GAAP gross margin to be in the range of 60.5% to 61.5%, which at the midpoint of 61% would be approximately 350 basis points higher than the same quarter one year ago as the strength of our product profile and diversification strategy bears tangible results. We expect our non-GAAP operating expenses in the June quarter to be in the range of $107 million to $111 million, an increase from the March quarter as the synergies from our DSPG Group acquisition are offset by continued investments in our organic growth opportunities such as wireless connectivity, virtual reality, video interface and automotive applications. We expect our non-GAAP net interest expense to be approximately $8 million in the June quarter. We expect our non-GAAP tax rate for fiscal 2022 to be approximately 12%. We are currently evaluating tax law changes, which in their current form, will impact our fiscal 2023 and future tax years. These changes relate to the required capitalization of R&D expenses and the disallowance of certain foreign tax credits. As it stands now, we anticipate increasing our long-term non-GAAP tax rate to approximately 17% beginning the first quarter of our fiscal 2023. Finally, our non-GAAP net income per diluted share for the June quarter is anticipated to be in the range of $3.55 to $3.85 per share on an estimated 41 million fully diluted shares. This wraps up our prepared remarks. I'd like to now turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] And your first question will come from Krish Sankar with Cowen and Company.
Krish Sankar: Yes. Hi thanks for taking my questions and congrats on the excellent results. Michael and Dean. The first one is kind of a two part question for Michael and then a follow-up for Dean. Both on the VR/AR exposure side and also the new business we are going into, media processors such as video conference and security platform. Can you just talk a little bit about what your competitive strengths are in that segment and how to think about the revenue of that business?
Michael Hurlston: Yes. Good questions, Krish. I mean I think on AR/VR, we have competitive advantage just given the performance of our display driver. One of the key features we talked about in the prepared remarks is this ability to increase the pixel density at the point where the eye focuses, and that's kind of a unique Synaptics technology. And then the second point I'd make is as these displays start moving from LCD to higher densities and then on to micro OLED, we've already introduced products along those axes and have started working with customers to bring those into production. So we think we're ahead on core LCD, and then as the display technology evolves, we feel like we're ahead again. On the video conferencing systems, one of the key things that we've done is bring in one of our acquisitions. You may remember, DisplayLink. And DisplayLink's beauty isn't so much around universal docking, which is the product that they go-to-market with, but it's around being able to compress video over very narrow pipes. And for the video conferencing systems in Rome, the new Zoom conference rooms and things of that nature, we've been able to take advantage of that technology that's largely software to employ this very highly compressed video and then use our wireless, use our video processors or Epec decoders and things of that nature in the screens to do the transport over the wireless link and things like that. So that's really been a big market for us, but the lead item is the video compression that the DisplayLink guys really were at the forefront of.
Krish Sankar: Got it. Very helpful. Thank you, Hurlston. And then a quick question for Dean. Can you talk – I mean, clearly, very impressive gross margins. Can you talk a little bit about input costs and how you're managing that? And any color on how to think about the audio linearity that you saw through the quarter?
Dean Butler: Yes. Good question, Krish. So as you probably know, I think the industry has been dealing with a number of input cost changes probably over the last year. We've been able to manage those quite well as sort of the results have shown. One of the keys for us has been focusing the product portfolio on sort of the higher end, more premium product set. Therefore, we're offering greater differentiation in the product and therefore, can command a reasonable ASP and pass through some of the input prices that have changed. Input prices are dynamic. Look, the prices from suppliers across the board continue to change, and it's a fairly dynamic environment. We've done a pretty good job, I think, as a team managing that, and we would expect to do so sort of going forward.
Krish Sankar: Got it, Dean. And just any color on the order linearity.
Dean Butler: Yes, the order linearity, there's probably nothing I would say that's unusual. It's not that – I think you're probably asking about the June quarter. The June quarter isn't sort of front-end loaded nor back-end loaded. It would be sort of typical for that quarter relative to seasonality.
Krish Sankar: Thank you very much. Thank you and congrats on the great results.
Dean Butler: Yes. Thanks, Krish.
Operator: Your next question will come from Raji Gill with Needham & Company. Your line is open.
Raji Gill: Yes. And I echo my congratulations in a really tough environment. That's great to see. Just, Dean, a quick question on the growth of IoT, ASP versus unit growth. Your IoT business grew almost 100% in March, and it's going to grow another 80% in June. What is the split between ASP versus unit growth for both March and June, if you have those numbers?
Dean Butler: Yes. I don't think I have the March and June sort of specific ASP versus unit growth. But what I will say, Raji, at the highest level, the four major growth areas that Michael talked about in his prepared remarks really are the engines that have been growing that IoT business for the greater part of one to two years. Many things are seeing design wins that are delivering into market now. I think Michael touched on a good example in automotive, right? And that's sort of been pipeline for a while. So as we see improved infotainment take off, you're starting to see those results sort of bear through. I mean there's certainly been some amount of ASP increases. I mean any time you have input prices that are changing, you're going to get a resulting ASP price that will increase. And if that continues to move, I think the ASPs likely continue to move.
Raji Gill: Got it. That's helpful. Just on the IoT business, I'm wondering if you could provide a little bit detail in terms of what was the biggest kind of contributor. And any thoughts on how much DSP contributed in the quarter as well. You have various different segments within IoT, ranging from auto to VR to wireless. And so there's a lot of segments there. Just wondering what's the biggest contributor in what was DSP.
Michael Hurlston: Yes. I don't know if I have the relative breakout. Maybe I'll have Dean comment, Raji, on which of the four were contributing and how. I mean obviously, what we've tried to do on this call was draw attention to these four growth drivers. I think in the past, we've received feedback that it's not been particularly clear where the growth is coming from. So we've tried to point very clearly to these four areas and talk about them in a discrete fashion. They are all growing. And obviously, what you see from us, given some of the headwinds in our PC and Mobile business, obviously, our IoT business is doing extremely well and I think there's been a lot of concerns, as you know, around the company. And I think, hopefully, the strength of the IoT business sort of assuages some of those concerns. But I don't have a specific breakdown, and I don't know on the DSPG contribution. Dean, if there's color that you can give Raji on that one.
Dean Butler: Yes. DSPG, we had said last quarter, which is true on the results now and also how we're thinking about the June quarter, is in line with the announced – revenue trajectory when we announced with DSPG, which is sort of roughly $140 million per year. So that's in the ballpark of $35 million a quarter. So it continues to run sort of in that zone. I think we've identified a few cross-selling opportunities. So certainly, our expectation is to move that up over time. And in the most nearest quarter between sort of the 4 fastest-growing areas – each quarter, it's a little bit different, Raji, I would say, and it's very supply driven, right? So where we can sort of get supply and execute to growing VR, growing WiFi we have such pent-up demand for those products as soon as we can work incremental supply, we sort of deliver those. And sometimes it actually comes in choppy.
Raji Gill: That's really helpful. Thanks for those insights. I appreciate it.
Michael Hurlston: Thanks, Raji.
Operator: Your next question will come from Gary Mobley with Wells Fargo Securities. Your line is open.
Gary Mobley: Hi, guys. Thanks for taking my question for the first time on this venue. I wanted to double-click on your expectations for any China-related supply chain interruptions and what not. Hoping perhaps you can quantify it in a little more detail and then as well how that may – that impact may break down between issues relating to weakened demand or relating to specific supply chain challenges.
Michael Hurlston: Yes, Gary, welcome to the call, and thanks for being part of it. As I said in the remarks, I think we've factored in all of the Chinese lockdowns in our number. For the most part, our supply chain is not in Shanghai, where you're seeing most of these lockdowns. But there are pieces of it from our PC business and so on. And then, of course, as you sort of alluded to with your question, customers are sitting in their houses and are they buying handsets and things like that. Again, we think we've contemplated all of that in the number, and we've been specifically thoughtful about how we gauge the number based on inputs that we're receiving from the channel. So we think we've done the diligence and we think we've got everything captured. I don't know, Dean, do you want to echo some more on that one?
Dean Butler: Yes. I mean, Gary, we would love to give a quantification if we had one. So the reality is it's not like customers have called us and said, hey, look, we want to cancel X, Y, Z. We haven't received any cancellation. We've sort of just seen the slowing effect. And therefore, it's really tough for us to quantify a specific impact. But it does seem like the PC and Mobile business areas are certainly seeing some of that effect. And I think a good part of that is sort of due to the supply chain that happens to run in those regions.
Gary Mobley: Got it. Appreciate the detail. Forgive me for asking this question in a naive or uninformed way, but I think it's been a little over a year since you last gave a gross margin update and that might have been 57%. You're obviously running over 400 basis points above that. So post-DSP acquisition, do you have any additional comments on how you view the long-term financial targets for not only the gross but also the operating margin?
Dean Butler: Yes, it's a good question, Gary. Look, we're at 61% last quarter March. We're guiding midpoint 61% again this quarter. Our objective is to manage to the most robust profile that we can and continue to grow the business. It's a fairly dynamic sort of environment with changing input prices. So it's actually tough for us to tell exactly what the stabilized long-term growth rate is around the gross margins. To give you some sort of relatives since you mentioned DSPG, when we acquired that business, they were running about 54%, 55% gross margin. We saw a path of including that to couple hundred basis points, get that up to sort of a 57% plus. So look, the answer is we don't have a formal update on our committed 57%. What I would say is, we will probably continue to maintain in this ZIP code probably north of 57% for some time. We will keep it at the 60% range as long as our product mix continues to be sort of positive for the investors.
Gary Mobley: Got it. Thank you guys.
Operator: Your next question will come from Kevin Cassidy with Rosenblatt Securities. Your line is open.
Kevin Cassidy: Yes, thank you for taking my question and congratulations. With the, you're saying your supply is still under the demand, but it looks like the markets are shifting even more, more towards IoT. Is there any chance that some of your wafer suppliers are the same ones that so you can move wafer from say from the mobile market into the IoT market or are they all just separate companies that are providing the wafers?
Michael Hurlston: Kevin, good question. Good to hear from you as always. Yes, for the most part, the latter is true that these are distinct nodes for distinct product categories. We have a very little bit of overlap where a PC product might share the same process note as an IoT product. But I would say for the most part that's not the case. And we said in the call in PC and mobile, we're getting a little bit of supply headroom, but in IoT, it's tough as ever, and I expect it to remain tough. So if we could do that, we obviously would. I mean, we're trying to optimize, as Dean said, given the supply chain that we have, we do a lot of optimizations toward the highest dollar value per wafer that we can. But our supply chain is diffuse enough as we kind of covered in our last Analyst Day that the theory you just put forth is more difficult than for us than probably most.
Kevin Cassidy: Okay. Understood. May be I'll go to a technology question. The FlexSense fusion processors, very interesting to me. And what kind of product are you displacing with that device or is it just a whole new category of smart sensing?
Michael Hurlston: The play here Kevin is integration, right? So, what typically products will have is three or four of these sensors discreetly enabled. And what we're able to do by pulling it together, obviously, there's huge power savings, there's huge di area savings, but perhaps more importantly, when you get the interaction between an inductive and capacitive sensor, you're able to bring different kinds of sensing. One idea is when you kind of run your fingers up and down a headset in a sort of a swipe motion, we can pick that off, whereas if you had a discreet touch sensor, it's much, much harder for that sensor to distinguish that action. So we really like the category. I think it's obviously no revenue for us today. We've just started introducing it. But it plays into our core markets. It gives us something else we can sell. And we'll see how it goes. But we think we have something that's incredibly differentiated here.
Kevin Cassidy: Got it. I agree. Great. Thank you.
Operator: Your next question will come from Christopher Rolland with Susquehanna. Your line is open.
Christopher Rolland: Hey guys, thanks for the question. I guess PC and mobile they are smaller segments now, but obviously get a lot of attention. I guess Dean or Michael either, either way. If you look at calendar year or fiscal year, whatever you want to do for the next 12 months, do you think there's a possibility that either of these grow year on year?
Dean Butler: Yes, I mean, I think Chris, we sort of, again, touched a little bit on it in the prepared remarks. For PC, I think, that the TAM, as many of our competitors have talked to is flat to down. So, we would acknowledge that. And I think that that's been true. We've seen problems in the business around this whole idea of kidding, where I don't have Part A, but I have Parts B and C. And so that's posed some challenges in the business for us as well. However, we're skewed toward commercial, which again, if you listen to the various reports out there, commercial skews in the PC area seem to be doing well or holding up better. Our exposure is much higher to commercial than it is to consumer or to education. And then secondly, I think that there’s opportunity for us to pick up share. We’ve introduced this new touch pad controller chip. We introduced that last year but as we go into this cycle with the PC manufacturers that’s when it would start to hit and we’d see more traction with it. So we think that there’s some opportunity for us to pick up share. And then I would say the third thing is this ASP mix where we see an increased attached of fingerprint on commercial SKUs and also this concept of the full ForcePad where that leads to higher ASPs. So, yes, I think there is a path to growth, even in an environment where the TAM is down. On mobile, I think it’s a similar thing. You’ve got a couple of things there that play to our favor. One, you’ve got this mix in China where you’re going toward more of these flexible OLED displays are touch controllers, if you remember, do really, really well on flex OLED and that’s still with China, it’s a small portion of their overall mix. We would expect as the mix shifts toward flex OLED, it opens up opportunity for us. And then as we talked about in the remarks, we have this new display driver that’s targeted toward OLED displays that we just launched at the tail end of the calendar year, last year, we got our first revenue from that we saw more of this quarter. We have pretty big supply constraints in that, with that product, because it’s a new product with unanticipated volumes coming into the fab. If we’re able to resolve some of the supply chain challenges, I would expect that to as we said, in the prepared remarks due relatively well in the second half of the calendar year.
Christopher Rolland: Great, thank you. And then maybe one for Dean, on inventory, if you could get some of the supply that you want, where could you take inventories? What sort of level are you comfortable with – particularly with what could be headwinds for PC or mobile even in the back half of this year? Where could you ultimately take them?
Dean Butler: Yes. I mean, outside of supply constraints, I mean our inventory is probably a bit is a little lower than what our ideal state would be. Part of the inventory just in the March quarters in actual results on where we ended, there’s probably a little more inventory in the PC and mobile area than we’d like in fact on the IoT area where’s much more constrained. So I think our inventory positions a little bit skewed due to some of the demand shocks in those two areas. But we’re in a perfect ideal world, we’d still be looking to drive inventory a little bit up from here. If that answers your question, Chris?
Christopher Rolland: That does. Thanks, Dean. Thanks, guys. Great job.
Operator: Your next question will come from Vijay Rakesh with Mizuho. Your line is open.
Vijay Rakesh: Yes. Hi, Michael and Dean, great quarter here. Just a couple of questions. On the IoT side, when you look at the four buckets, you talked about wireless connectivity and VR and TDI and video interface. Could you parse out like what’s the mix of those within IoT and what the growth rates were, I guess in – within those different buckets? I think you talked about within wireless connectivity might be DSP about 35 million, I’d say 10% of that IoT, but if you could just give the four buckets and what the growth rates were that would be great.
Michael Hurlston: Yes, it’s a good question. Vijay, we don’t actually stratify it in any more specific quantified detail and I think it might have been Raji that asked a little bit earlier. What you need to understand is depending on the supply chain availability, these results are you’ll get choppy and quarter-to-quarter. And so I’m not sure that it would be really useful actually to go to a further level of granularity and sort of walk through each of sort of the pluses and minuses with the supply chain the way that it is.
Vijay Rakesh: Got it. And instead of going quarter-over-quarter, if you were to look out a year or so or two years, if you were to size the VR headset opportunity for you, or the automotive TDDI opportunity, could you give us some thoughts around that? I think you have sized automotive opportunity in the past, but that’s it. Thanks.
Michael Hurlston: Yes, Vijay, I don’t know – we have to go look at what our sort of multiyear plan is in both areas. In both AR/VR and the TDDI, we obviously have outsized market share. I think in the AR/VR headset display drivers, I think it was Chris that asked the first question. Because of some of the differentiators that we have, I think we’re shipping on the vast majority of all the headsets. So, we don’t expect that to continue. I mean I think that it’s a natural situation where you’re going to see competition. But we will continue to enjoy outsized market share there for all the technical reasons that we characterized. As that market grows, whatever you put on it, I think we’ll grow with the market. Similarly, in auto TDDI, right? I mean we have a lion’s share of those wins. The market now is starting to tip that way. I would say 90%-plus of the RFQs that are out there are now asking for TDDI as opposed to discrete display and discrete touch, but we’re probably exposed right now and shipping cars to less than 10% of the overall volume. So you can see as that market continues to move towards TDDI, our market share, we expect it to remain high, and I think we’ll do well. I think we gave some numbers around automotive just to frame it, right, Dean?
Dean Butler: Yes. Our previous TAM sizing around automotive was 250, and we said sort of our revenue goal was 100 of that. We’ve now surpassed that revenue goal. And I think we’ve sort of undercalled what the size of that is given sort of the digitization of the cockpit in today’s modern cars, I think that’s significantly larger. We probably undersized it previously.
Vijay Rakesh: Got it. Thanks.
Operator: Your next question will come from Anthony Stoss with Craig-Hallum. Your line is open.
Anthony Stoss: Hey guys, congrats on the strong results, especially on the gross margin side. Michael, I wanted to focus in on a comment. I believe I heard it correctly that you made on your Chinese customers, you felt that they had too much inventory. Have you been undershipping then as a result of that? Or do you think there’s a hiccup that could come for you guys in short order? And then also probably for you, Michael. Given the component shortages that we’ve seen over the last year, have you entered into a lot of different long-term supply agreements with your customers? I’m just curious if you can give us kind of a view on where you see kind of ASPs maybe in 2023 versus 2022, especially if it’s kind of a slowing economy.
Michael Hurlston: Yes, Tony. Look, on the first one, I think what we said was we saw sort of weaker than expected sell-through from the Chinese handset makers. I don’t think that we’ve built up inventory as a result. And I don’t know – there may be inventory sitting in the channel, but it’s harder for us to say. I think most of that has played out. That’s been a multi-quarter drama. And for the most part, I think we’re through it, barring some of the – I think there was an earlier question from maybe Gary around what’s going on in China and will that impact end customer demand. I think too early to tell. But I think most of the inventory in the Chinese handset makers has played out. Sell-through has been weaker. And obviously, that’s reflected in this quarter’s numbers and then the guide. I think you had a second question.
Dean Butler: Was on long-term agreements.
Michael Hurlston: Long-term agreements. Yes. Again, good question, Tony. I think on LTAs, we do have them. We’ve worked hard to secure them. I don’t know what percentage of our customers are subject to that. As we think about for longer-term dynamics to your point, I would say a lot of the pricing, the input pricing situation that Dean talked to, that stabilized at least for the moment. We’re hearing certainly rumors that there will be more price increases coming, but we’ve sort of hit a local minimum right now or local flat point. And we’ve been able to – as Dean said in his comments, we’ve been able to use that to get new design wins. We're actually launching a bunch of new products. So a lot of the revenue growth that we've seen here, at least in the near-term has been more new product ramps as opposed to price increase.
Anthony Stoss: Perfect. Best of luck guys. Thank you.
Michael Hurlston: Thanks Tony.
Operator: And your next question will come from Ambrish Srivastava with BMO.
Ambrish Srivastava: Thank you very much. Michael, I do appreciate and I'm sure many of us do. The breakout that you gave earlier on to help us kind of see where the growth is coming from, so that's appreciated. Question on trying to tie up the commentary and for the calendar year, based on the design wins ramping are you comfortable with consensus estimates? I think we are looking at mid-single digit growth Q-over-Q for the rest of the year. Is that something that the company's comfortable with?
Michael Hurlston: Yes. What I would say Ambrish and we can't comment on a specific number, but I don't think the model changes for us sort of at the macro level. Look, there's a little bit of speed bombs in the mobile PC area but IoT continues to perform exceptionally well. So I think at the highest level, I think our perspective is sort of despite what may or may not happen in those two smaller areas that the IoT strength can probably overcome it.
Ambrish Srivastava: Got it. And there's no DSPG synergies baked in yet, right, because that would be too soon.
Michael Hurlston: So one on our top line revenue, we hadn't committed any revenue synergies. We certainly think that there's opportunities for us to drive that forward. Many of the synergies on the DSPG combination were operating expenses and we've largely achieved the vast majority of those actually already to date sort of implied in our June guide.
Ambrish Srivastava: Got it. And then just one final one for you, Dean. The business has changed so much and I don't even know what steady state, isn't semiconductors anymore but if you were to just kind of help us for modeling purposes, normally – normal seasonality now that the mix is so weighted towards IoT versus traditionally PCs and mobile, which had its own seasonality. What's the right way to think about Q-over-Q growth in a "steady state" environment. So that for a longer term model we can kind of pick that in? Thank you.
Michael Hurlston: Yes. I would say on a steady state sort of longer-term, the seasonality that the company once had is largely run out of the model. If a June guide, if you just sort of use that as maybe sort of a rough high level – first order level number sort of 70/30 IoT and then 30% being PC plus mobile. I mean, it takes a lot of volatility in that 30% to start moving the top end seasonality. So while those areas will still always have their typical seasonality, I think it'll be very muted longer term. Right now supply chains, constraints, that's it's sort of an abnormal environment, but I would say if you drew the line out far enough you would probably have a much more muted seasonality.
Ambrish Srivastava: And IoT's does not have any seasonality is what you – is what you're suggesting, because of the diversity?
Michael Hurlston: Because of diversity there's a fair diversity of the different businesses in there. It's also in many ramping growing product areas that have long-term tailwinds, which will also sort of tamp down seasonality as well.
Ambrish Srivastava: Great. Thank you. Thank you.
Michael Hurlston: Okay, I mean, I think – yes, I think Ambrish if you remember last year we took out a lot of the seasonality that we'd had in years past in calendar Q1 and calendar Q2, right. We'd taken it down to maybe half of the seasonality that we'd had in the previous 10 years. This year there's no seasonality. I mean, that's basically the fact and I think Dean's got it right. One, given our handset exposure, it's broader, our PC exposure is obviously broader, but then the huge mix toward IoT, I think we can sort of do away with certain seasonality and in short strokes, right. We just feel like we've just put the business into a position now where those huge dips that you'd see in Q1 and Q2 by virtue of exposure to particularly one handset maker are gone.
Ambrish Srivastava: Right. Great. Thank you. Thanks for all the transparency and the details. Appreciate it.
Dean Butler: Yes. Thanks Ambrish.
Michael Hurlston: Thanks Ambrish.
Ambrish Srivastava: Thanks.
Michael Hurlston: I'd like to thank everyone. Sorry. Hey Peter.
Operator: I have no questions at this time, Mr. Michael Hurlston you may proceed.
Michael Hurlston: I'd like to thank all of you for joining us today. We look forward to speaking to you at our upcoming investor conferences during the quarter. Thanks.
Operator: This concludes today's conference call. Thank you for participating. You may not disconnect.